Massimo Reynaudo: Good morning and good afternoon. Thanks for joining us for the UPM Quarter One 2024 Results Webcast. I'm Massimo Reynaudo, I'm the CEO of UPM. Here with me is Tapio Korpeinen, the CFO of UPM.
Tapio Korpeinen: Good morning to everyone.
Massimo Reynaudo: Let me share now the main facts and achievements of the first quarter. While quarter one has represented a positive start of the year under different dimensions, first, the recovery in demand and continued successful margin management have resulted in improved earnings compared to previous quarters. The destocking that has characterized last year is now over for all our businesses. Second, our transformative investments the new Paso de los Toros pulp mill in Uruguay and the Olkiluoto 3 nuclear power plant in Finland have delivered good contributions to the quarter one earnings. And finally, the improvement has been wide based and most of our businesses have improved their performance sequentially. Our sales totaled €2.64 billion and our comparable EBIT generation has been robust at €333 million or 12.6% of sales. As I said earlier in quarter one, the destocking was over and the inventories have been normalizing. Last year, many industries have experienced a heavy destocking and a drop of the demand that in scale and duration has not been experienced before. During earlier calls, we have used this graph that describes what happened to the demand of self-adhesive materials in Europe last year as an example. In this graph is now well visible that since mid of last year, the demand started to recover and the recovery accelerated significantly in quarter one. In this specific case the demand in quarter one returned to the levels of 2019 or to pre-COVID levels. We are not yet to the peaks reached later on but the situation has been clearly improving supported by I said the normalization of inventory levels and the underlying consumer demand that has returned to growth. Albeit this is about self-adhesive label material, we see similar dynamics in most of the industry segments where we operate. As a result in quarter one, our delivery volumes increased in five out of the six business areas that we have with respect to the last quarter. In fact they grew in Raflatac, in Specialty Papers, in Plywood, in Fibers, and in Communication Papers. The performance of our Energy business area has been robust too with the EBIT performance reaching the best quarter one ever. One important contribution to our performance came from our transformative projects. And the new pulp mill Paso de los Toros in Uruguay has been one of them. The production ramp-up progressed well and reached 83% of the capacity during the quarter. Earlier on, we indicated that we were expecting to reach a positive EBIT in the first part of 2024. In fact, we reached it during quarter one already. Looking ahead, the mill will undergo a shadow maintenance shutdown in June as already informed earlier on. After the shutdown, we expect to turn from the ramp-up phase to normal operations and reach capacity during the second semester. We will continue to optimize the mill and the Uruguay platform and drive cash cost further down toward the targeted $280 per delivered tonne. By this standpoint an important milestone has been reached in early April as the railway between the mill and our port terminal in Montevideo started operations. In summary, the ramp-up of the mill is proceeding well. And with the completion of the ramp-up phase, we will have 60% of our overall pulp capacity in Uruguay in a highly competitive platform. But when we talk about transformative projects, let me remind that last year also the Olkiluoto 3 nuclear power plant started to operate. As anticipated, the energy business had a strong start of the year and the new power plant in presence of a strong market, proved its importance for the electricity system and contributed well to our quarter one earnings. Now, let me hand it over to Tapio for some analysis on our results.
Tapio Korpeinen: Thank you, Massimo. So looking at the drivers of the bottom line in the first quarter. On the left-hand side, you can see the Q1 EBIT bridge compared to the Q1 of 2023. Sales prices were significantly lower than last year, with all businesses except Energy, realizing lower prices. Variable costs decreased too, but on group level this positive impact from variable cost was smaller than the impact from lower sales prices. On the positive side, delivery volumes were materially higher too. This was due first of all from additional volumes from the Paso de los Toros and secondly from the Olkiluoto 3 production during the quarter and then also finally from the recovering market demand in several businesses. Volumes grew in Fibres Energy Raflatac and Specialty Papers. Fixed costs were slightly lower and depreciation was higher due to the start of the Paso de los Toros pulp mill. On the right-hand side, you can see the EBIT bridge compared to the fourth quarter of last year. On UPM level, we were able to increase prices, while variable costs broadly were stable. The increase in variable costs that you can see here is due to the timing of the Energy-related refunds that we typically book in the fourth quarter. Fibre costs increased, whereas many other variable costs still decreased. Delivery volumes increased in all other business areas except for Energy. Electricity deliveries were lower mainly due to the scheduled maintenance shutdown in Olkiluoto 3, which started in early March. Fixed costs were lower than in the fourth quarter. UPM operations in Finland were impacted by the political strikes in March and early April. We were not party to this political dispute, but were affected by the resulting logistical blockade. Production in most of our paper and pulp mills were suspended, and all businesses experienced disruptions in logistics out of Finland. We succeeded well in mitigating the impact of the strikes by managing inventories and servicing customers from outside of Finland. And therefore, the result impact was modest and is split between the first and the second quarter. Then, going to the business area starting from Fibres. In Fibres, profitability improved. Market demand for pulp was good and prices increased from the fourth quarter. The average pulp price increased by 13% from the fourth quarter, but still compared to last year it was 23% lower. Our pulp deliveries grew from last year by 71%. Paso de los Toros contributed to the volumes and earnings. And as Massimo pointed out, Energy achieved its best first quarter result so far. Cold winter weather in the first months of the year boosted electricity consumption, seasonally supporting market prices. We also succeeded well in hydropower optimization, as also volatility of prices was high during the first quarter. Average electricity sales price increased by 24% from the fourth quarter or 12% from last year. In such strong markets, the Olkiluoto 3 nuclear power plant unit proved its importance both for the Finnish electricity system and for contributing to our earnings. Then Raflatac markets continued to recover with European label materials demand growing by 29% from last year or by 16% from the fourth quarter last year. North American demand was recovering as well around the same level 14% from the fourth quarter. Raflatac succeeded well in maintaining good unit margins and hence the recovering deliveries led to recovery in profitability as well. In a similar manner, demand and deliveries in specialty grades in the Specialty Paper business area were recovering during the first quarter. Meanwhile demand was solid for Fine Papers in Asia. Good profitability was maintained despite increasing variable costs. And Communication Papers continued to perform well. In the first quarter, overall demand for graphic papers in Europe was slightly higher than a year ago but sales prices were clearly lower. The business continued its cost reduction actions. It benefited from the Plattling mill closure that took place in the fourth quarter and completed the sales of the Steyrermühl paper mill. In UPM Plywood, destocking in the markets ended leading to some improvement in deliveries of spruce plywood. The business aligned production to market demand with temporary layoffs. In other operations, the European market for advanced renewable fuels was soft. Biofuels sales prices decreased while input costs still remained elevated. The detailed commercial and basic engineering phase for the potential biorefinery in Rotterdam in the Netherlands continues. Biochemicals is progressing at full speed towards starting production in the Leuna biorefinery and launching the Biochemicals business by the end of this year. The first part of the Biorefinery have been commissioned and the commercial interest for the wood-based products remains high. Most of the refineries operating team are already in place. And during the second quarter -- first -- further parts of the refinery start technical trial runs. Our financial position continues to be strong. First quarter operating cash flow was solid at €335 million including a seasonal outflow of working capital. Our net debt decreased to €2.312 billion during the quarter, which is equal to 1.46 times EBITDA. The Annual General Meeting of UPM decided on an unchanged dividend of €1.50 per share, totaling €800 million and paid in two installments. The first installment was paid on 16th of April. And our CapEx guidance for the year is unchanged at €550 million. Also our outlook for the year is unchanged. We expect our comparable EBIT to increase this year from last year driven by higher deliveries the ramp-up of Paso de los Toros pulp build and lower fixed costs. In the first half of 2024, we expect our comparable EBIT fall short of last year's second half due to the timing of the energy related refunds in the fourth quarter last year and due to high maintenance activity in the second quarter of this year. We already discussed the impact of the energy refunds in the sequential EBIT bridge on slide 5. During the first half of the year , the total maintenance impact is expected to be about €120 million, 110 million of which will take place in the second quarter. About €100 million of the maintenance impact will take place in the Fibers business due to the three pulp mill maintenance shutdowns. But then in the second half of the year we anticipate a good uninterrupted run that will support our results. It is also good to remember that the Energy business area made it its best Q1 results so far driven by high energy demand and prices -- energy prices during the winter months. Winter is over. So it is likely that seasonally the energy business performance will moderate. So now I will hand it back over to Massimo for some comments on UPM growth.
Massimo Reynaudo: Thank you, Tapio. I would like now to open up a window over the future -- the future beyond this year. In the past weeks ever since I had the privilege to be given this role, I have been asked a number of times what will you change in the future or what will UPM change. In reality, I don't think that change is the right word to characterize what we will do in the future. Well, of course, we are operating in a very volatile environment. There is uncertainty and complexity in the future. So we will need to continuously adapt or anticipate the changes wherever possible. So change is some way part of our current way of working. But looking into the future the word that I think is more relevant for us is choice is making the right choices or the best choices. Let me explain. Within the UPM portfolio as portrayed here we have plenty of opportunities to grow. And we have invested in recent years already to foster and exploit these opportunities. We have what we call the traditional core businesses like Fibers and you have heard about investment in Paso de los Toros or Energy. And you have heard about Olkiluoto 3. But also in our Specialty Packaging Material Businesses, we have invested in the AMC acquisition two years ago or in paper machine conversions such in Nordland. So we have been investing in the core businesses to foster the growth of the future. But at the same time, we have also invested to get into new spaces. Here you see the so-called biorefining area. And you have heard talking about Leuna and you know that we are into the engineering phase for a potential investment into a new biofuel refinery in Rotterdam that would expand our biofuel capacity. In that space there are many more opportunities that we can pursue whether that is hydrogen production of fuels – let’s say there are many opportunities ahead. And we are at the crossroad of many industries and we can choose where to put our resources to accelerate the growth of the future. But here on this other slide I want to give you another dimension. Finland has been the cradle of our company that has grown across its evolution and over the decades to become what it is today a multibillion global company. And I've been willing to take this representation that tells under different metrics what UPM is today. This describes the company with sales and operations in five continents. We are about 16,600 people globally and we are present nowadays in 43 countries and we have 86 nationalities represented in our teams. This diversification has helped us to be resilient and perform in every market condition and beyond the geopolitical tensions in the past and this will continue in the future. But now if we look at both the opportunities offered by our product portfolio and by our global scale, we are well-positioned to take profit of the different megatrends that are shaping the economy globally now and in the coming years. So this is why making the right choices or making the best choices is the keyword here so that we ensure we will continue to generate robust performance, good return on investments and attractive dividends. This is our focus going forward. And in order to discuss more extensively about our future, I would like to take this opportunity to advertise our upcoming Capital Market Day in London on the 5th of September. I can meet you there in person and you can meet with the UPM Group Executive team there. But in case you can make it to London, there will be an opportunity to follow the event on online too. The registration to the event is now open on our website. But now and to conclude. Quarter one was a positive start of 2024, underpinning our confidence for the full year. Our product markets are recovering and our businesses are driving performance in an improving business environment. In quarter two, several assets will undergo planned, maintenance, shuts, impacting our short-term performance. But in contrast, the second half of the year we anticipate a good uninterrupted run that will support our results. UPM is in strong shape financially with a portfolio of competitive businesses in growing markets supported by global megatrends. I look forward to opening the next chapter in the UPM growth, while delivering consistent and strong performance. This concludes the prepared part of the presentation. Dear operator, we are ready for questions from the audience.
Operator: [Operator Instructions] The next question comes from Charlie Muir-Sands from BNP Paribas Exane. Please go ahead.
Charlie Muir-Sands: Good morning. Good afternoon, gentlemen. Thank you for taking my questions. I've got a few that I'll try and limit myself. Just in terms of the maintenance that you've got coming up in Q2, particularly in Uruguay in June, how many weeks are the mills due to be down for? And is this going to affect the revenues in the second quarter? Or could that spill over into the third quarter, given timing of revenue recognition in terms of shipments and receipts of customers' factories. And then secondly, can you give us any kind of update on your negotiations with the unions at the moment? And then lastly, you're guiding to CapEx of €550 million, of which €300 million is getting spent on Leuna. How do you think about the sustainability of maintenance CapEx at an implied €250 million per annum? Is that sustainable over the midterm? It's clearly a much lower number than your depreciation charge. Thanks very much.
Massimo Reynaudo: Okay. Thanks Charlie for your questions. I'll pick the questions about the maintenance in quarter two and the update on the negotiations and I leave the question about the CapEx to Tapio. But when it comes to the maintenance in quarter two and your question is specific about Paso de los Toros in Uruguay the duration. The duration is estimated in the two weeks, which is pretty much a standard in these cases. The other part of the question was basically about the revenue spillover beyond the quarter and assuming that everything proceeds like the plan and we have good reasons to believe that that will happen that will not be a material fact. That's for the first question. For the second question, the negotiations with the unions where do we stand? Well, first of all we stand with the fact that following the previous negotiation around two years ago, we have now five CLAs active in Finland for the different businesses. And so this is one first data point. The other data point is that, as a company, we are committed to provide our employees everywhere globally fair remuneration for their job and that applies definitely for sure to Finland as well. So this is to say that we are open to negotiation and to talk about salary increases. This is what we consider normal. Just beside that, what we want to talk about and discuss about is, further ways to, let's say, protect and maintain our competitiveness or the competitiveness of our assets in Finland while we talk about wages and salaries, because that is fundamental to, let's say, preserve the competitiveness of our business and the future of our operations here. And we believe that these two topics are the same topic of interest of our counterparts and so on. So on this base, our openness and our trust that they will to get an agreement from the unions. I trust we can this kind of evolve positively. There are talks ongoing as we speak with the different business areas. I said there are five CLAs. So there will be -- there are different negotiation table. So, it's moving forward. I cannot anticipate the conclusions but there is a dialogue ongoing and then I leave the last question to Tapio.
Tapio Korpeinen: Yes. On the CapEx, well, what to expect on CapEx and maintenance CapEx. If you look at the history, this time we didn't have the slide here in the deck, but our pure maintenance CapEx actually has been at €200 million or even below. If you look at this recent years when we have had had the sort of big investments ongoing in Leuna and in Paso de los Toros then we have been actually even sort of keeping the maintenance CapEx below €200 million. So in that sense, there it is. So in that sense, let's say, the capital efficiency has been and will continue to be from that point of view, very strong in UPM. And of course, where it comes from is from the fact that we have quality assets and particularly in the more capital-intensive parts of our business like in pulp for instance, we have big well-maintained pulp mills. So that enables us to keep this maintenance CapEx low. Maybe another point here, like you said that let's say, as a total level -- or let's say, the maintenance -- pure maintenance CapEx compared to the total level of depreciation where we're headed to somewhere now €600 million and above next year. Looking at the past, in addition to this, let's say, maintenance investments as such we have been in total spending somewhere around, let's say, €300 million to €400 million in the past years, which has already then included on top of maintenance, the sort of targeted investments in the existing assets and businesses to the scale of building a third paper machine in China. So let's say, this sort of level of total CapEx, which still is below the depreciation leaves room for also not only maintaining but improving and building on the existing asset base as such. And then, let's say, any new transformative investments, like what we are preparing for in the Biorefining area then would come on top of that.
Charlie Muir-Sands: Great. Thank you.
Operator: The next question comes from Patrick Mann from Bank of America. Please go ahead.
Patrick Mann: Thank you very much for the presentation, opportunity to ask the question. I've got two questions. The political strikes in Finland. So I understand that has nothing to do with UPM. It is between the union and the government. But what is the current position there? And are you confident that this doesn't flare up again or become an issue again later in the year? Could you just update us on that, please? And then the second question, I mean, you're obviously CapEx is rolling down and you've got big volume increases from these projects, which are ramping up now. And you have these investment opportunities ahead of you. How do you evaluate and rank those opportunities and decide whether or not to make investment? And maybe more importantly, how do you think about deploying the capital there versus higher shareholder returns? And how do you think about that capital allocation question. Thank you.
Massimo Reynaudo: Okay. So let's do like we did before. I picked the first question about the political strike, and I let Tapio to continue on the question about the CapEx and the use in the future. When it comes to the political strike, as it was said and as you underline Patrick, we are not an active party in this process, in this discussion. It is that the parties are the government and the union. So, by this standpoint, we cannot formulate predictions about the evolution of the situation there. But having said that, one point, which was underlined earlier on by Tapio, which is relevant whilst we hope that the situation will settle. We hope there won't be more strike and disruptions, but this is a hope is not a plan. It's not something we can build on. But whilst we are in that situation, we know what has happened already in the past weeks and months, and we have been able to cope with the four weeks of strike with a modest impact on our performance. And I think Tapio has indicated that we have been able to manage orders, customer orders, anticipate them, postpone them, redeploy them. We have reallocated productions from Finnish assets to other assets. We have leveraged our inventories. So we have found a number of ways to manage that situation. And also, just to give another data point, even if it was mentioned earlier on, even in quarter one, even with the impact on the pulp mill of the strike on the pulp mills in Finland, our deliveries of pulp have grown 71% compared to the same period last year. And to give you another data point, nowadays about 90% of our sales and revenues today are generated outside Finland. So Finland is a key and important platform for us, but our business has diversified so much during the time under many dimensions to be able to cope the strikes we had really with a modest financial impact. But equally, the financial impact is not the only impact here that counts. I would like to remember that we had also a big number of our workers that have been affected in their incomes and salaries because of that strike. And also, this kind of activities bring a reputational damage because in any way, they impact your ability to serve customers the way they would like to. So for all these reasons, I really hope that in the interest of the Finnish competitiveness that this situation will evolve and will normalize soon.
Tapio Korpeinen: Yeah. So if I sort of go then to the question on the opportunities and maybe to sort of bridge on Massimo's answer there in a sense that, let's say, whether we will see, let's say an outcome that is more or less sort of controlled or calm out of this situation in Finland is perhaps not so much an issue of having to be concerned of financial performance of UPM as we are a global company. And as said, the impact is not material so far here, but then it can be an issue also for us in terms of where do we choose the opportunities to invest as a global company. So that's why, for instance, we have 60% of the capacity for pulp in Uruguay now where we have good control and ability to impact our put costs and let's say a long-term competitive platform where we know that we have a competitive advantage for years to come. And that's of course one of the key criteria, where do we find an entry barrier, where do we find a competitive advantage that will last for years to come and where do we have a business where the market opportunity is positive and sort of clear for many years to come for an investment to pay back. So that's why we have been let's say now focusing on the Fibres business in Uruguay that's why we are then looking to sort of scale up the Specialty Papers and label materials businesses which are global businesses where we have global presence and then let's say building up the biorefining platform as a whole. In terms of capital allocation, I think one of the strengths in a sense that we have been able to show also now during the time where our CapEx has been high with Leuna and Uruguay pulp projects is that we can invest in quite significant scale, but at the same time also, maintain a good distribution to the shareholders in the form of dividends. So that is I think also one kind of objective or strategy vis-a-vis our shareholders that we aim to maintain going forward to have a good balance there in the sense that we want to invest and grow earnings and that means that then our capacity to share the returns to the shareholders will grow as well.
Patrick Mann: Thank you. Thanks for the answers.
Operator: The next question comes from Andrew Jones from UBS. Please go ahead.
Andrew Jones: Hi. I've got a couple of questions. Just firstly on the biofuel side. Can you just tell us how much the loss was in the biofuels business in the first quarter? I'm just wondering as a paper analyst we pay spend less of our time looking at these markets than our Neste colleagues. But can you give us an idea from your perspective as to what's changed in the market in recent times? And if that -- those macro changes are doing anything to sort of put you off that potential investment in Rotterdam. I mean is the market still as attractive as you thought a couple of years ago when you were starting work on it? And then just secondly just a follow-up on Charlie's question on the maintenance downtime. I think you said two weeks at each of those mills. It sounds like, it's probably about 140000, 150000 tonnes. Can you just confirm that's the right sort of ballpark on the on the volume loss? And could -- is there any way you could give your dollar number that associated with that maintenance hit and maybe also some guidance around the energy or electricity sales losses in the second quarter and the maintenance there? Thanks.
Massimo Reynaudo: Okay. There are quite a few different points here. I'll start to picking -- let's see if I pick them all, but I may use Tapio's help to answer a few. But let's start first with the investment in Rotterdam. Well, we are working definitely to the case, the investment case and to the engineering of the project. But let's put it a bit on a broader perspective. An investment of that type is a sizable investment that will pay returns over a couple of decades or longer. So in that time, the biofuel market will probably reach its maturity, biofuel market is a relatively new and young market which has been supported so far also by the regulation and mandates and so on. So, when we think into a longer time horizon of a couple of decades and more, we need to imagine how to compete succeed and be profitable into a mature market. So, this is why beside the engineering work and phase of the work that is being done. We are working to ensure the availability of supply of feedstock at competitive costs over a long period of time because there is a probability that feedstock will become a short resource in the future, as well as on the other side of the Stream fuel, developing different commercial scenario. So this is just to try and sell that – say, that we are having our holistic approach to this case, which is taking time. We understand that, but we want to be sure we put all the time that is needed to have I would say, the majority of the variable under good control there. So, it's not formulating here an indication about how much time. It will still take. We take a time which is needed, but we will communicate properly in the due time. Rest assured; we are working on the case. But then there was another part of the question around the short-term dynamics in the biofuel market for -- I leave that maybe to Tapio -- but when you assess an investment case like this one as said, you look over a long-term horizon and you don't get influenced by short-term variations.
Tapio Korpeinen: Yes. Maybe if I continue briefly from there like we said in the beginning of the year, and have stated in the outlook as well, the biofuel prices are now at a lower level starting this year, compared to what we have seen let's say, during last year and early part of last year. We don't disclose the result of the biofuels business, as such. So, it's reported as part of the other operations that you can see in our release. But one can say that, let's say, the sort of impact on profitability of the kind of short-term market conditions has been one of the main reasons, why let's say, then we have a kind of a level change in what we report as the comparable EBIT in the other operations. And again, let's say, reasons being the same that are affecting our peers in the market. There's been let's say, softness sort of oversupply or more supply vis-a-vis demand towards the end of the last year, and this year for several reasons including imports to Europe, some of which may not be sustainable lesser demand in market areas and also let's say, impacting the advanced biofuels pricing in particular, which is important for us. But then maybe going to your -- I think you had a question around this maintenance shutdowns and volumes and so on. So again, we don't sort of disclose the volume impact as such, but this let's say €100 million impact on the pulp business from the three maintenance shutdowns in the second quarter that includes obviously, the fixed cost of maintenance, but then also kind of the margin impact of the lost volumes or volumes not produced during the maintenance shutdowns.
Andrew Jones: And just in -- on the electricity side with the Olkiluoto shutdowns, it's any sort of numbers you can put around that?
Tapio Korpeinen: You mean in the Olkiluoto 3 and the sort of -- well let's say, as I said of the €120 million total maintenance sort of impact €20 million then is the effect of the Olkiluoto shutdown. Again, basically as a kind of a net result of the cost and the lost volume.
Andrew Jones: Okay. Thanks for that.
Operator: The next question comes from Cole Hathorn from Jefferies. Please go ahead.
Cole Hathorn: Good morning. Thanks for taking my question. The first one is mean UPM's strategically diversified its Fibres-based away with a lot of production now in Uruguay. But if we think about the Nordic or the finish wood costs, how do you think that market develops over the kind of the near and longer term, do we need effectively capacity closures to balance the supply/demand of the Fibres market is the first question. The second one is related to the global pulp markets. I mean we've seen disruptions from MettaGroup with their issues at Kemi. We've seen the Finland port strikes and it's buoyed the global pulp prices. I'm just wondering how do you see the development from here? And if you could give a little bit of color, I would imagine that softwood pulp would have been the tighter market, but we've seen bigger price increases from a lower base in hardwood. So I'm just wondering if there's any divergence between the hardware and software that you're seeing? And then finally the third question is around the biochemicals plant. In the past you always talked about good cost competitiveness. against the oil price and you price up. I'm just wondering how have the wood costs developed for that biochemicals plant? Thank you.
Massimo Reynaudo -: Okay. So let me start. The first question was about the Nordic wood cost development. Well as it's probably known to everybody in this call, the wood balance the wood situation in the Nordic in general Finland part of it has changed in a significant way since two years when the Russian wood has been subject to a ban and could not be imported anymore. But that happened in parallel with an increase of capacity in Finland that increased demand. So that added up to the imbalance. So the imbalance today is quite sizable. I believe it is in the scale of potentially up to 10 million cubic meters per annum. So it is sizable. And0 this has led to this significant cost of wood that we have seen in the last couple of years. Now when it comes to the future, well, we don't make predictions about cost development, but surely the tightness will be there. And it is difficult to imagine that there will be sufficient let's say wood available to support the need in Finland in the long run. So well I want to resist the temptation to speculate but surely there is -- and there will be a wood tightness in the future and what this will determine we'll see. But it's a structural issue for the market. It's not a temporary issue. Then the second question was about the global pulp market. There's definitely been an increase in the demand recently. And that has happened also in parallel to when it comes to softwood as you indicated some reduction on the offer side because of yes reduction on the offer side. So at this point in time there is there is some tightness. How this will develop in the future will also depend by the evolution of the economic situation. Because as said part of the current tightness is driven by the demand. The demand in Europe last year has been pretty weak, whereas at the beginning of this year we have seen a good level of demand that is added up to the demand in Asia and in China specifically. So all this will develop. It's hard to predict but this will be influencing the trends in the second part of the year in a significant way. The last question is about the biochemical plan and the impact of wood cost on the competitiveness of the asset. Well, that mill insists on a different wood basket from the Nordic platform. Therefore it is not subject to the same dynamics when it comes to cost increases. There have been any way cost increases since the case was originally formulated. But it is true as well that has happened as part of an inflationary cycle. So there has been an increase also of prices of chemicals. And we trust that we can get a premium on our prices that will offset the inflation on input costs. So there are some elements there but they are not going to be impacting in any significant way on the attractiveness of the business case.
Cole Hathorn: Thanks so much, and then…
Tapio Korpeinen: The wood cost specifically that again, structurally, it's a different situation, because we are using Birch, which is -- and the broadleaf forests in generally in Germany underutilized. A lot of the birch wood actually is burned, which is not really a kind of an acceptable way to use wood anymore in Central Europe. So in that sense we believe that sort of there's quite good supply also longer term of hardwood for us in Leuna.
Cole Hathorn: Thank you.
Operator: The next question comes from Ram Kamath from Barclays. Please go ahead.
Ram Kamath: Yes. Hi. Congratulations on a strong set of numbers. Capital employed of Energy just draw my attention. Could you -- and it has -- if I say it closely, it has fallen about a third since peak in end of 2022. So could you help me to understand why there is a sharp fall in capital employed for Energy segment in particularly? And on the pulp side, as you – as exposure to Asia and China has increased after the ramp-up of mill in Uruguay, I'm just curious to know about how you foresee demand growth in China? And can you also touch upon how to read on the Northern bleached softwood kraft pulp prices dropping sequentially in China versus increase in Europe. Thank you.
Tapio Korpeinen: Well, if I start with the question on the capital employed on energy, it's a good question or a good point to understand. So in our balance sheet, the way we consolidate the ownership in the sort of special purpose companies that exist here in Finland, in the nuclear and hydropower production in our case that produce electricity at full cost for their owners. So the way that we then account for the value of these ownerships in our balance sheet is on a fair value basis, meaning that we kind of calculate a market-based value for these assets or for these equity ownerships in these companies. It's basically kind of a DCF valuation that is then obviously, impacted by on one hand, the discount rate that we use in our calculation. On the other hand, the sort of energy price forecast, which is in the short-term very much driven by the forward curves or the sort of future contract prices. And during the year, now we have had, particularly let's say, if you take as a comparison the year 2022 when prices were quite high but still for a number of quarters next in the beginning of last year end of 2022 forward prices have been coming down. Interest rates have been going up and therefore obviously discount rates likewise. So these two things combined have been then affecting this sort of fair value model.
Massimo Reynaudo: Yes. Then the other question was about pulp demand in China. What we have observed during quarter one is that the demand in China was let's say driven by end user segments and there were different dynamics there was -- I wouldn't know how to qualify it was regular was not strong not weak, but if the question was to try and speculate what the dynamic will be that that's very difficult to do. The Chinese markets move very, very quickly some time on the base of speculative logic. So on this base I refrain from formulating views on the future.
Ram Kamath: Okay. Okay. And just on the paper side of the things even the utilization have improved quarter-on-quarter, but it is still around 70 at the moment for Communication paper. Where do you see the utilization going from here? And do you expect more consolidation exit of expense plants or mills or machines going forward?
Massimo Reynaudo: Okay. Yes when it comes to the demand of graphic paper last year demand dropped dramatically in Europe as well as in the US just to give it a scale it was in the 25% area, which added up to some sort of 9% drop the year before. So you consolidate the two numbers it means that demand has reduced or the market has reduced one-third in a couple of years which is much more than seen in the previous years. So last year already there have been significant consolidations or reductions or exit. We have contributed. We have reduced our capacity last year about 1 million tons. It is fair to say that the market remains still strongly oversupplied. As Tapio has indicated before let's say volumes have displayed some stabilization or some -- even some growth on some grades at the beginning of this year but that is not changing dramatically the picture. So it will be probably inevitable for the industry to go through further consolidations in the future if the profitability will need to be maintained.
Ram Kamath: Okay. And on the labeling side of it do you see restocking happening anytime soon because we know that the large part of destocking has started, but looking at the curve that you have showed in the presentation for Raflatac would it be safe to assume that the restocking would happen soon?
Massimo Reynaudo: Yes I think it's a good question. I think restocking it's also happening right now is not -- there are two components into the rebound we see. One is really an element I would call it of normalization of inventories across the value chain after the heavy destocking of last year. And then there is a good underlying demand driven by consumer -- end user consumer demand that comes on top. But the speed of the decline last year and the speed of the recovery this year are something that cannot be explained only with a structural change of the demand. So there is definitely both trends and element of inventory destocking last year and revealed in this year, which we believe is already happening
Ram Kamath: Thank you very much.
Massimo Reynaudo: Okay. I think this also gets us to the end of the time we have planned for this call. Thank you everybody for the participation. I look forward to see you in September if not before in our next quarterly call in July. Thank you. Have a nice day.